Nils Smedegaard Andersen: Okay. So good morning, everybody, and welcome to this call, talking about the third quarter results of A.P. Møller – Mærsk. We are, as you can imagine, quite pleased with the result. We have a result for the quarter of around US$1.3 billion, and we think that given that, given the strong cash flow and so on that we are pretty well positioned for a world that becomes ever more competitive. But thank you for joining us this morning. And I’m here with Trond as usual, ready to go through the presentation, and take the questions that you may have and hopefully we’ll give you some good answers. If we start on Page 2, there isn’t much left of the year. So of course the uncertainties slowly going down, but still I would like you to remind you that what we say about the future is based on our expectations, and of course, these things may change as we’ve just experienced in the last quarter with the drop in the oil price. And if you join me at Page 3, this is just to give you a very brief overview of the nine months development. We believe that the figures are good. Of course the profit jumped from US$2.8 billion to US$5 billion is including the two extraordinaries, which are the sale of Dansk Supermarked, the profit from that, and also the impairment we made Brazilian oilfields, as well as another few pluses and minuses. So the profit, if we exclude one-offs both for 2013 and 2014, the first nine months show an improvement of US$727 million, which is close to 25%. So we’re very pleased with that. The underlying profit by activity. And here we have taken out the extraordinaries or the exceptionals. You see Maersk Line up, with approximately 25% as well, US$370 million in the first three quarters. Also Maersk Oil improving, in spite of the recent pressure on oil prices, but improving on the back of improved production. Actually on average, pretty okay prices, and a reduction in exploration costs. APM Terminals continue, will also this year hopefully have a good year. Maersk Drilling is down accumulated for the year just as foreseen, given the cost of running in new rigs and also a number of yard stays, which happen to be five-year yard stays and quite costly. And then have services, or APM Shipping Services, as it’s called now, basically stable compared to last year. And here, we still have some strategic work to do, and we also have a turnaround that needs to be achieved next year in Damco. Going to Page 4, we go into the highlights of the quarter, which I think is probably more interesting for most of you, since you have followed us also at the half-year. And profit up from US$1.2 billion to US$1.5 billion is I think a result we can be satisfied with, but going to the profit excluding one-offs, you have a better picture of the underlying businesses. 2% improvement in the profits excluding one-offs compared to the same quarter last year. That’s actually quite good since last year’s third quarter was very strong, and also having in mind that Maersk Drilling for the full-year is expected to be below last year. But if you take this figure and you take into account that we have had some currency effects. So you exclude financial cost, then the underlying effects on the five – or the underlying profit on the five businesses actually improved approximately 10% on average, which was driven by general progress. You can see that in the bottom part of the graph with progress everywhere – or not everywhere, but in the three largest business units and the planned decline in Maersk Drilling, and basically a stable situation in APM Shipping Services. The main driver of the progress was Maersk Line, up by US$120 million, compared to last year, but also I would like to underline that Maersk Oil, in spite of the oil price drop, managed to improve its results on the back of a 4% increase in production and savings on the exploration cost. The Maersk APM Terminals figure, we’ll come to it later, but the underlying figure is actually up approximately 8%. The actual stated number is showing a bigger increase because of the sale of Virginia. And with that, I think maybe just worth mentioning that the cash flow remains stable on a high level. US$1.4 billion of free cash flow means that we will – that we continue to reduce our debt. And going to Page 5, digging a bit deeper into the Maersk Line results. Revenue up 4%. It’s actually not so often we see that, but volumes have been up and also rates have not declined, but actually increased a little bit compared to last year. So you can say the profit is up 24%, and we now have this quarter ROIC of 13.5%, comfortably beating our 8.5% target and even being above 10%. So we are pleased with that. And the progress in result in partly a result of the volume increase of 3.7% I just mentioned, but we also continue our efforts to reduce costs. We’ve reduce costs by 0.9% on a unit cost level, and at the same time, the rates are slightly up compared to last year, so that gives good earnings result. Here, the free cash flow generation is about US$500 million, even after funding the capacity growth, which at the moment is of course the phasing in of the Triple-E vessels. Our fleet capacity increased by 6.3%, and that is again the phasing in of the three Triple-E vessels, but it’s still our ambition to grow our fleet in line with the market growth, so that should average out at somewhere around 3% to 5% or 4% to 5% as well as at previous, there is no change in that. Also on the margin difference, it’s worth pointing out that we now, for the eighth consecutive quarter, is beating our target of having at least 5% in margin advantage to the average of the industry, and we’re of course very pleased with that. We got our VSA agreement with Maersk or with MSC. Got it accepted by the – approved by the U.S. Federal Maritime Commission. And that means that we are ready to start-up by the beginning of January and we will start taking orders for this service by sometime during December. And going to the next page, just digging into the Maersk Line cost reduction, been mentioned a figure of US$25 before compared to last year. And this is of course held by growth, but if you go to the bottom line, you will see where the cost increase of the 2.8% comes from. It is below the volume growth, but still there is a cost increase. And the most important part here is terminal business or the terminal rates that have gone up, not rates but terminal costs have gone up in line with volume. Also Inland Services have increased, which is quite natural with increased volumes. Vessel costs have increased, but actually less than you expect, given the increased volumes. And then we’ve had a reduction in bunker consumption. Here, we don’t actually have yet any effect of bunker price of any significance. It’s a 0.8% decrease in the bunker price. The main part of the saving comes from reduced bunker consumption per FFE. So more the same, and I’m sure it doesn’t give you a lot of surprises, but I would like to point out that actually the average bunker consumption per FFE has been reduced again with 6% compared to last year, which is quite an achievement in our opinion. Going to Maersk Oil. I’ve said most of it already under the opening, but a very nice increase in profit by 18% to US$222 million, by 4% higher production and lower exploration costs as the main reasons for that. The average oil price declined in the quarter, but on an annual level, it still remains more or less in line, if I’m not mistaken with the last year. The reduction of exploration costs is amounted to US$46 million. This is partly by, or it is by design, we continue to evaluate our exploration efforts very carefully, but it is also reflecting of course a concern that with the present oil prices and present prices of oil assets, that a high level of exploration as we have had in Maersk Oil in the past years may not be the best way to build our reserve base. We’ve had a number of exploration wells through the quarter. Three of them have been without commercial discoveries in Kurdistan, in Denmark and in the U.K. We had a well, Marconi, drilled in second quarter and also the Buckskin 3 appraisal well has been finalized, and they both have positive oil indications and we are evaluating the commerciality. And on the good side also, Golden Eagle produced its first oil in October, which was ahead of plan, which I believe in this industry is not something you see every day. Going to Page 8, APM Terminals results. The highlights here, profit of US$345 million, driven by terminal – the disposal of Virginia mainly. We’ve also taken various impairments and other things. So the net profit excluding one-off is US$211 million, which is up 8.2%, compared to the same quarter last year, which given the pressure we have seen on global trade now, is a very respectable progress, which we’re pleased with. And there also the ROIC continues to improve, so nothing really to complain about here. Business as usual, gradually growing the business. Maersk Drilling, also in line – very much in line with what you’ve heard around the half-year and what we said at the beginning of the year. We had an increased profit in Maersk Drilling, but also here, it was driven by extraordinary income from the sales of Venezuela. The underlying profit was down from US$160 million to US$106 million, fully in line with expectations. We are getting the last rigs delivered during this quarter, while the last drillship will probably be coming in either at the end of the year or beginning of next year, according to plan, and we’re of course working hard to find a long-term utilization for it. The drillship 3 is on a short-term Total contract, drilling off Malaysia and we hope there will be utilization for this rig afterwards as well. Nothing much more to say to this, but Drilling is progressing according to plan, and we expect to see the benefits next year. APM Shipping Services results are slightly down compared to last year. This is not out of line with what we’ve said the whole time, but it is very obvious that there is quite a bit of work to be done in this segment. First and foremost, the turnaround of Damco needs to be completed. We are phasing in the new system. So we are getting close to having 80% of the customers on that platform. And we’ve also managed to reduce the number of offices, down to almost where we plan it to be, which is a significant reduction from around US$300 million to around US$50 million, and I am talking about back-office centers here. Maersk Supply Service is a business that we want to see grow as we’re investing in fleet renewal. Here, we’ve ordered during the year four subsea construction vessels, in line with our strategy to upgrade the capabilities in Maersk Supply, and we’ve also recently placed orders for six next-generation anchor-handlers that I’m sure will also lift our capabilities significantly. So that’s quite exciting. SVITZER is profit-wise down, a little bit, due to difficult conditions in Australia. Maersk Tankers report a profit improvement compared to last year, and there is positive in itself, because we’re having small underlying profit, but most of the increase actually or most of the profit came from an operation we’ve made around mid-year where we bought four time-chartered VLCCs from the owners and resold them, getting rid of some loss-making contracts, which gave us a profit of US$71 million. And so there is still lots of work to be done in APM Shipping Services, but we’re confident that we will see the results of that when we go into next year, in particular, improving results from Damco, which will continue to be difficult for the remaining of the year. And with those words, I would hand over to Trond, who will present Page 11.
Trond Westlie: Well, good morning from me as well, ladies and gentlemen. Going then to Slide #11. We’re going to look at the return on the invested capital. The Group at the end of September had invested capital of approximately US$51 billion, and the reported return in the quarter were 12.7%, which we are very satisfied with. That is of course affected by also the sales gains included in the quarter. But as you can see, Maersk Line, is delivering 13.5%, which is very good. And as you can see on – as you saw on the Slide 5, you see a progress on the returns for the last three years consecutively comparing quarter-by-quarter. So all in all, I do think that Maersk Line drive very good progress these days, but if you can also be aware that fourth quarter is likely, as you can see on the previous years, to go lower than third quarter. Maersk Oil is of course affected by the invested capital as a result of the write-down we did in the second quarter of US$1.7 billion, and that leaves Maersk Oil at the return of 17.5%. Terminals’ return of 22.5% affected by the sales of Virginia, but underlying in the same trend as they previously had. Maersk Drilling, slightly down to 10.7%, also affected by the sales of Venezuela, but an underlying sort of trending in the same context as they did in first and second quarter. So all in all, we are doing fine. APM Shipping Services also doing well, considering also difficult result for Damco, still doing 8.7%. And other businesses improved slightly, as a result of the improved results from Danske Bank, and the return in the quarter is 9.6%. If we then go to the right of the slide to see that the change in invested capital sort of driving our allocation process to the company or the business units of focus, and that means that Maersk Drilling has increased their invested capital, almost doubling it, since we started sort of recording this and showing this, and the APM Terminals increasing by 35%. If you go down to the bottom, you see that Maersk Oil is of course decreasing as a result of the write-down of US$1.7 billion, and also that the progress hasn’t come as far as we had expected in 2002 when it comes to the progress or the timing of the progress of some of the bigger projects like Chissonga, Johan Sverdrup and Culzean. But all in all, and also you see that Maersk Tankers coming down with 56%, that is sort of planned action as a result that we’ve been selling off segments, and of course, Dansk Supermarked is fully out as a result of the sale. If you then go to Page 12 on our financial framework. On the top left, we started the year with net debt of US$11.6 billion, and as of third quarter, we’re down to US$8.1 billion. And as you can see, the variance of the different elements going there, and also the impact far to the right of the Dansk Supermarked sale, as we have collectively presented it at US2.8 billion. If you then see on the top right, you see that the sales proceeds from this year’s divestments, including Dansk Supermarked, VLCCs and Virginia as the three main items, gets us to US$4.1 billion. And on the bottom left to the far right, you see the gross investments or the gross capital – the gross investments in capital expenditures is at the level of US$6.8 billion for the first nine months. So all in all, good progress on the focus points on both, cash conversion, as well as optimizing the portfolio and trying to get the growth going with the investments. Going then to Page 13. This is the overview of the consolidated financial information. I’m going to go quickly through the third quarter of 2014 numbers. Revenue leading us at US$12,169 million, basically in line, slightly up from last year. The earnings before interest and tax, depreciation, amortization at US$3.2 billion, slightly up from last year as well. Depreciation, basically in line with previous year at US$1,108 million, and gain on sales of non-current assets at US$454 million from the loss last year of US$30 million. So all in all, earnings before interest and tax increasing with basically US$600 million, up to US$2,688 million. Financial costs net this quarter is US$188 million, slightly affected by some currency effects, as a result of appreciation of the dollar, specifically of approximately US$60, but also some other pluses and minuses considering last year but that is sort of the major effects for this quarter. Leaves us the profit before tax on US$2.5 billion sharp. Tax, increasing from last year to US$1 billion. Most of that is driven by the capital gains, thanks to Virginia sale of approximately US$150 million. That is sort of driving the increase in that underlying tax, effective tax on oil is still mid 70% as we previously had said. And that leaves us the US$1 billion. So the profit for the period reported in this quarter is US$1,495 million. Going then to the bottom of the page, seeing that the net interest-bearing debt is US$8,053 million. Earnings per share this quarter is US$67 a share, and return on invested capital, as I previously mentioned, on 12.7%. Going then to the guidance for 2014, we still expect the result for 2014 significantly above 2013, which may result of US$3.8 billion. As Nils mentioned earlier, underlying result is still expected to be around US$4.5 billion when excluding discontinued operation, impairments and divestment gains. When it comes to gross cash flow, we have slightly reduced that, and are expecting now to be around US$9 billion from previously US$10 billion. Maersk Line, we have increased the expectations for 2014 to be above US$2 billion, specification from previously significantly above 2013, which were US$1.5 billion. And that is based on good third quarter performance. The global demand for the year, we now expect the growth to be about 3% to 5% from previously 4% to 5%. Maersk Oil still expects an underlying result in line with 2013 of US$1 billion. If we then include the impairments of US$1.7 billion in Brazil that we did in second quarter, we expect the full-year loss to remain around, loss of US$700 million. That is based on an average oil price for the year of US$102 per barrel. On the entitlement production, we still expect the entitlement production to be above 240,000 barrels a day. APM Terminals still expects the underlying result to be above last year of US$708 million. When it comes to Maersk Drilling, still expect the underlying result to be below 2013, and that is due to the planned yard stay and high costs of the startups. APM Shipping Services expect to be around 2013, with slightly lower than US$300 million. And as always, the guidance is subject to considerable uncertainty, and you see some of the sensitivities at the bottom of the page. And with that, I leave the closing remarks to Nils.
Nils Smedegaard Andersen: Well, just to sum up – sorry, just to sum up our presentation. Our strategy remains the same. It is the ambition to create a real premium conglomerate, demonstrating continuously to our investors and people observing us that we are able to create value through profitable growth, through building businesses that can truly win in the marketplace and being leaders in the industries. And we believe that the Group result in Q3 confirms that we’re on the right track. We have, what we deem, a satisfactory performance, delivering US$1.3 billion underlying profit. We continued our portfolio optimization with getting out of onerous tanker contracts and selling the terminal investment, where we will basically just a landlord in Virginia, and we’ve also taken the first step to address our capital structure returning through share buyback. So far very small but US$150 million out of our US$1 billion buyback program. It is important for me also to underline that we are aware that we have a very strong balance sheet. It gives us very good opportunities to continue even in difficult global economic situations with low-growth continue a responsible and good investment program, that places us even better in the markets. And of course also continue focusing on the needs and opportunities of our customers and opportunities in the marketplace. And so, in spite of the fact that we believe that the world is getting a little bit more challenging over the coming quarters, we believe that we are very well positioned to act and deliver also under those circumstances, and our underlying business is probably performing a little bit better than we expected. So, on that background, we will maintain the guidance of US$4.5 billion in profit for the year. So thank you very much for listening into this rather long elaboration from Trond and me. And now we’re ready for questions.
Operator: Yes, thank you. We will now begin the question-and-answer session. The session will last 40 minutes. (Operator Instructions) Our first question is coming from Lars Heindorff from ABG Sundal Collier. Please begin sir.
Lars Heindorff – ABG Sundal Collier: Yes, good morning gentlemen. A few questions from my thoughts, I think I’ll take them one at a time. Firstly, regarding Maersk Oil. OpEx per barrel increased to around US$33 per barrel in the quarter. It has been increasing slowly and steadily in the past couple of years. How should we think about OpEx level going forward? Will it continue to increase because of the run-offs in some of these mature fields, or will there be any positive impact from some of the new startups?
Nils Smedegaard Andersen: In general, we have to be realistic. In the immediate coming quarters, I think we will continue to see a gradual increase in costs, but I do believe that there is scope for general cost reductions in the oil industry, and we’ll have to see how that pan out. But we know that the existing fields are slowly declining, or in some cases, faster than slow, but that is a negative impact. And of course, also the new fields that we put on stream have rather big investments behind them, and Jack, which is next one, will be an ultra-deepwater field. So there will be, I think, a tendency for a while, as you see increasing oil production cost.
Lars Heindorff – ABG Sundal Collier: Then regarding the exploration costs. If you see a run rate that you’ve reported in the third quarter, this suggests a full-year spend around US$760 million. Is this the level that we should expect going forward, or maybe further to that, are there any contractual obligations that make it difficult for you to adjust your exploration level up and down from quarter-to-quarter?
Nils Smedegaard Andersen: Well, they are not that many contractual obligations, but when we look at the exploration costs we have this year, there is actually quite a lot of them are related to fields that we know quite well. So it gets more in the direction you can say of appraisal and pre-production costs. So these are things that we will do, in order to prepare the fields for production, but you can say probably a little bit less while carrying than you’ve seen in the past. While carrying is not the right word but…
Lars Heindorff – ABG Sundal Collier: And then thirdly regarding Brazil. There is a statement in the annual – not in the Annual Report, in the Quarterly Report, on Page 11 about a rejection by the Brazilian authorities of the sale of the Polvo field. Can you give us more insight to that, and what will mean?
Nils Smedegaard Andersen: It will mean nothing, because the sales price is very, very low and we’re hardly talking about double-digit millions. So it’s just a very low sale for us. And there can be – if we are not approved, there can be some later costs for closing down the fields or the field, but we’ll have to look at that. And so, I would say it doesn’t really have an impact. We just mentioned it for completeness. The reason why we decided to divest Polvo was to concentrate our activities on things that are a little bit more relevant.
Lars Heindorff – ABG Sundal Collier: Okay. And then, last regarding Maersk Line. You mentioned connection with the Capital Markets Day that you have some CapEx plans going forward that you need, sort of, to grow your capacity in line with the market [ph]. Have you come any closer to a decision about the timing and the size of that future CapEx spent in Maersk Line?
Nils Smedegaard Andersen: Well, we did say at the Capital Markets Day that it could be up to some US$3 billion a year to grow the market, including of course, IT systems and container investments and so on. And I think that figure more or less stays.
Lars Heindorff – ABG Sundal Collier: Okay. All right, thank you very much.
Nils Smedegaard Andersen: And it will be financed out of our own cash flow by the way.
Operator: Next question is coming from Christoph Settner [ph] from MainFirst Bank. Please go ahead.
Christoph Settner [ph] – MainFirst Bank: Good morning, and congratulations to the strong results. Can you shed some more light on the future CapEx plans, now that oil prices are low and when you learn that M&A acquisitions will go up the next time? So you have anything special in mind and will be more on terminals or more on the oil side?
Nils Smedegaard Andersen: Well, we are just basically voicing that we have the capacity to do more, but everything we do – if we go for the oil business, everything we do will of course have to stack up under the new low oil price levels. So we’ve seen and it’s hard to say when sellers and buyers have come to the same conclusion on how things should be priced. We are not in a hurry. We have no urgency to do anything, and we will be very, very mindful of not investing in things that require on realistic assumptions on oil prices.
Christoph Settner [ph] – MainFirst Bank: Okay. Also related to low oil prices, do you hope to see any large impairments in Maersk Oil or Maersk Drilling as you saw them from Transocean first half, and will the planned capital allocation, which was stated at the Capital Markets Day is around 50% for combined Maersk Oil, Maersk Drilling and Terminals consistent, or will you change something there?
Nils Smedegaard Andersen: We have over the last couple of years been holding back on investments in the drilling area, because we did actually expect the oil price to come down somewhat. It doesn’t mean that we will not do an investment if there is a special project or specialized rig that can achieve a long-term contract with an oil company, but we will not go out and order on speculation for the ultra-deepwater market, because even though we think that there will be need for the modern tonnage that’s in the market now, we don’t believe there is any need for additional new builds. And in terms of the impairment, of course, if we felt that there was a need for impairment, then we would have done it, and we think that our assets are valued correctly.
Christoph Settner [ph] – MainFirst Bank: Okay. Thank you very much.
Operator: Next question is coming from Christopher Combé from JP Morgan. Please go ahead. Christopher Combé, you are live now, please go ahead. Okay. We will go to the next question. It’s coming from Penny Butcher from Morgan Stanley. Please go ahead.
Penny Butcher – Morgan Stanley: Hi there. Good morning everyone. Two questions from my side. The first is, in relation to the cash flow for the quarter. I see at the Group’s level, you’ve reported a little over US$2.7 billion of operating cash flows similar to this time last year, but I can’t see exactly in the divisions where that support comes from, is that Maersk Line, Maersk Drilling, Maersk Oil are all down in operating cash flow terms year-on-year. Where exactly in the divisional businesses, did the operating cash flow growth remained broadly stable to reach that Group level? If you could just help us reconcile where that came from? And my second question. Just come back on the oil price and the assumptions going forward. I assume that your guidance, at least in the oil division in relation to drilling to, is taking the prevailing Brent rates into account when you are keeping the guidance where it is. How should we think about ‘15 in terms of, if we are entering January at an US$80 type level, what is your views on the production levels related to the sharing arrangements that you have. Can that stay around to 40%, or should we expect some level of growth? Thanks.
Nils Smedegaard Andersen: Thank you. I will just start by answering how we view next year. Of course, we still see Maersk Oil as a business we would like to grow. Lower oil price will impact the volumes we get out of the Qatar production sharing agreement, positively but it does not necessarily come immediately, so there may be some factors and things and time lags in that, that will be impacted. But fundamentally it should be positive. If we look at the oil price – our oil price expectation for next year, we haven’t given out anything yet, but I can tell you that a deviation of approximately – a US$10 deviation on the oil price will be giving an impact of more or less US$200 million on a full-year basis in Maersk Oil, and we have not decided what that means for next year or how we will hand it next year, but of course we will work on the cost side, and operational cost, overhead costs and we will also have a close look at exploration and investment costs. So there is we have some mitigation opportunities and we’ll work on it, but of course if the oil price is US$80 instead of US$100, it means you can say a US$400 negative impact.
Penny Butcher – Morgan Stanley: Okay.
Trond Westlie: And when it comes to your question on the operating cash flow. It’s basically the same standard specification as you see on the cash flow statements going back and forth. The only thing when you actually add up the business unit, what you are missing of significance was that we have a timing difference on some indirect tax payments in the Group, as a Group adjustment. As we had on the positive element in the second quarter, we have a negative element in the third quarter. And that’s approximately US$250 million-plus as you see going back and forth in those two quarters. And that’s sort of the major element. The other things of course might be relevance back and forth both in the eliminations, as well as it is in sort of other business unit elements, but that’s the major effect.
Penny Butcher – Morgan Stanley: Okay, thanks. Could I ask one quick follow then. On the divisional businesses, Maersk Line, and perhaps the Oil and Drilling segments, where the operating cash flow is quite noticeably down year-on-year versus, let’s call it, broadly stable EBITDAs. Can we assume that the difference is related to perhaps working capital flows in each of those divisions, or is that some other factor we should be aware of?
Trond Westlie: No, there shouldn’t be any specific elements. I do think that when it comes to year-over-year adjustments, there are some effects, and as you know, there are some working capital, but the total working capital effect in the third quarter for all of the business units is basically US$200 million. So it’s not that significant. So there are of course other relevance in there and also some currency effects in the working capital as such.
Penny Butcher – Morgan Stanley: Okay, great. Thank you very much.
Operator: Next question is coming from Finn Bjarke Petersen from Danske Bank. Please go ahead sir.
Finn Bjarke Petersen – Danske Bank: Yes, good morning. Two questions, if I may. The first one is, how do you see the dynamics in the container market from the low oil price affecting you going forward? And the second question is on the APM Terminals. On the impairment and foreign exchange losses that you’re making on the joint ventures, could you elaborate a little bit on these items as well?
Nils Smedegaard Andersen: Just to – I’ll start off with the oil price impact on Maersk Line. Of course, we are using lot of money on bunkers in Maersk Line every month, and also here the 20% or US$20 drop we’ve seen in the last months, it will definitely help us going forward. There is not a much of an impact in the third quarter, but we believe there will be a positive impact in the fourth quarter. Fundamentally though, we believe that given the competitive nature of the container business that when you look a little bit further out then two or three months, then that tendency is that the carriers compete this away and it end up as price reductions. Sorry for being realistic on this point.
Operator: Next question is coming from Neil Glynn from Credit Suisse. Please go ahead.
Neil Glynn – Credit Suisse: Good morning. Just firstly, a question on – following on from Morgan Capital. Obviously we had an outflow in the third quarter and we’ve got an outflow for the nine months to September. But should we expect recovery of that outflow in the fourth quarter, or is that likely to remain a negative figure for the full-year? And then secondly, a question on Maersk Line. If we compare the third quarter to prior quarters this year, I recognize clearly the second quarter was strong and there was guidance at the run rate or the volume growth rate would moderate, but it seems that utilization has gone backward in the third quarter, given your 6% fleet capacity increase. Is that disappointing? Is it an issue going forward, given the Tripe-Es continue to deliver, and how do you improve that commercial performance, in light of lower fuel prices?
Nils Smedegaard Andersen: Well, if I can – I didn’t understand your first question, but the second question on the capacity utilization for Maersk Line. It’s correct that the fleet growth has been slightly ahead of the volume growth. Of course it’s impossible to manage this down to less than a couple of percentages up or down every quarter. So it wouldn’t take any trend from it. Our ambition is to grow in line with the market, but of course there would be quarters where we grow a little less and there will be quarters where we grow a little more, depending on the speed of delivery and how fast we can reduce our time-chartered portfolio.
Neil Glynn – Credit Suisse: Understood. Just to come back on the first question. We had a negative working capital number flowing through the cash flow statement for the nine months. Just looking to understand will that be a negative number for the full-year, or should inflows in the fourth quarter produce a better result?
Trond Westlie: Well, the usual sentiment of the working capital pattern is of course that third quarter is of course an area, where both Damco and Maersk Line, have a lot of revenue. And as a result of that, working capital goes generally up and slightly downwards at the end of the year. So effectively I expect the working capital to come further down at the end of the year.
Neil Glynn – Credit Suisse: Okay. Thank you.
Operator: Next question is coming from Thijs Berkelder from ABN AMRO. Please go ahead.
Thijs Berkelder – ABN AMRO: Yes, thank you. A couple of questions on APM Terminals. Can you maybe indicate what throughput growth has been, let’s say, underlying, excluding the divestments, and the same for revenue growth? A second question related to your Slide 51, showing stronger EBITDA margin improvement in your joint ventures and associates. Can you maybe explain why that’s the case? Why it certainly jumps from 40% to 48%?
Nils Smedegaard Andersen: [Technical Difficulty] Growth. It is actually stated on the bottom. Throughput is up from 9.3% to 9.7%, and I think that is more or less the organic throughput. And then the Page 51, I’ll just have to get just a minute. I’ll have to come back to you [Technical Difficulty]. On the question on Page 51, I can’t give you the details on that. So if you call in to Henrik Lund and his department, they will be able to help you on that.
Thijs Berkelder – ABN AMRO: Okay. Very good. Thanks.
Operator: Next question is coming from Dan Togo from Handelsbanken. Please go ahead.
Dan Togo Jensen – Handelsbanken: Good morning, and thank you. You mentioned that you did expect to foresee a drop in the oil price and we’ve seen that now. Where the spot price is now, has that in anyway, and this movement we’ve seen, has that in anyway affected your long-term view on the oil price, and the way you sort of say we’ll direct your investments going forward on the oil side. That’s the question number one.
Nils Smedegaard Andersen: Well, we actually had an expectation that the oil price would go down to the band USS$80 to US$90. It’s come down faster than we expected, and we are little bit surprised about the speed. It’s going down, but we’ve already taken some precautions, notably not cutting back on our ordering ambitions in Maersk Drilling, and also working very, very hard on cost of our investment projects, so that we make them stable and profitable also at the present oil prices.
Dan Togo Jensen – Handelsbanken: But fundamentally there hasn’t been a change to your long-term fundamental view on your oil price, as I understand it?
Nils Smedegaard Andersen: Our fundamental – our long-term expectation for the oil price is, for the – well, long-term, what is the long – for the next couple of years, they will be in this band, maybe around US$90. And then at a point in time, we expect it to start growing with inflation.
Dan Togo Jensen – Handelsbanken: Okay. And then on Terminals on the tax rate, could you please take me through that, because you mentioned in the report that the reason for the high tax rate is tax incentives expire, the normal tax incentive schemes expire, but you also have a significant capital gain of US$150 million, and if you exclude that you have quite low tax. How should we see this going forward, and what will be the run rate on the tax rate in Terminals going forward?
Trond Westlie: The element is of course that in Q3, the major effect of the Terminals is the capital gains tax. The other things that has happened is that, we – as a result of investing in different countries, we do get some tax holidays for a period of time. One of those has lapsed during the second quarter. So that the average rate will come up slightly, but not more than, I believe 4-ish percent points I believe from basically historic levels. So it’s not going to be any significant jump up, but of course, when these holidays go out, we are going to sort of be affected by them.
Dan Togo Jensen – Handelsbanken: Okay. Then finally just on 2M. I know you have elaborated on this extensively, but what can go wrong now? I mean, you have the FMC approval, what can go wrong as you see it until you expect to kick-off early in 2015?
Nils Smedegaard Andersen: Well, basically we don’t expect anything to go wrong. Of course any – both the European Union and China and the U.S. will reserve their rights to observe what we are doing, and if they believe that we act against laws or what they like to see, there can be some measures taken, but we have no plans of doing anything but the capacity sharing and that is approved in the U.S. and it’s reported or explained both in China and the European Union. So we will start taking orders in December and the network will go live in January.
Dan Togo Jensen – Handelsbanken: So in that sense, no news is good news for 2M. Is that the case?
Nils Smedegaard Andersen: Yes. But I think like in all terminals or in all alliances, of course we have to watch out and make sure we behave in line with the right legislation, which is what we intent to do, and then we don’t foresee any problems.
Dan Togo Jensen – Handelsbanken: Thanks a lot.
Operator: Next question is from Gianmarco Bonacina from Equita. Please go ahead.
Gianmarco Bonacina – Equita SIM: Yes, one question about the profitability of the big oil projects in Angola, U.K. and Norway. You mentioned before that you expect in the mid-term oil price to be US$90 and then maybe to grow a little bit more. Can you give us some sensitivity in terms of return on capital? So assuming that the oil price will be US$80, the return on capital on this project will still be above 10%, and basically at what level of oil price these big projects will not be able to have a return on capital which is above 10%? Thank you.
Nils Smedegaard Andersen: I can’t give you an exact answer to that, but when you look at the projects that we have, both in the U.S. Gulf of Mexico and the North Sea, they are both – they are all below the US$80. And our forecast by the way is US$80 to US$90, it’s not US$90. So we do expect those projects to be profitable and giving a return at least of 10% all of them. The only field where we feel that we have major investment where we have a challenge is the Angolan Chissonga field, and we’ll be working with governments and with suppliers to see whether a good project a sustainable, a solid project can be established also at an oil price of US$80, and that’s our prerequisite for investing there. So much more I can’t say at this point in time.
Gianmarco Bonacina – Equita SIM: Thank you.
Operator: Next question is from Mick Frederiksen from Nordea. Please go ahead.
Stig Frederiksen – Nordea: Yes, Stig Frederiksen from Nordea. Gentlemen, one question to Maersk Line, regarding the volume growth. I can see the volume growth you realized here in Q3 was a bit lower than average for the industry and the data points. Could you elaborate a bit on the mix you’ve seen, or the decision you have taken regarding refer or other things that had caused this lower volume growth?
Nils Smedegaard Andersen: We’re happy with the volume growth. It’s more or less in line with the market. In the first half, our share grew a little bit, because we grew stronger than the markets. So we are not micromanaging these down to the 1% during the quarter. We are happy with the development. And you can say that, that what we – or we are not taking any specific decisions on refers or other things, that is impacting the share or the year accumulated I think we are basically spot on in line with the market.
Stig Frederiksen – Nordea: Thank you.
Operator: Next question is coming from Christopher Combé from JP Morgan. Please go ahead.
Christopher Combé – JP Morgan: Thank you. Managed to get back on line. Two questions please, first on, Drilling. You mentioned before that the lower price winds puts you off necessarily from investing in specialized areas. Can you give us an update on the 20K Projects and when we could expect to hear some additional news?
Nils Smedegaard Andersen: Yes, when I referred to the specialized, we believe by the way that the offshore drilling in most of the areas will continue to be interesting. So we don’t have a worry about that, but we do have a concern on the ultra-deepwater market in the short-term. In the mid-term, there is around 100 rigs that are old and that will probably be competed out, but even having done that, we don’t believe there is a need for additional rigs. The 20K Project is a special project, because many of the larger or some of the larger oil companies have very significant resources in infields that have these characteristics of high pressure, in some cases, also high temperature. And that’s why designing and building this rig on the back of a long-term contract we believe can still be interesting. So what we’ve decided not to do is basically not to go for, you can say, ultra-deepwater rigs without long-term contracts. And probably even with the long-term contract, we wouldn’t build at the moment because we think the market is oversupplied for the medium term.
Christopher Combé – JP Morgan: That’s clear. And then last question is on the rate environment. Can you comment a bit on the success you’ve seen with the most recent GRIs, and what stage I think you made reference to retaining bunker cost savings for maybe a quarter or two before they are passed on in rates. Do you think we’re going to see any of that distortion in the fourth quarter already? And lastly, how does this your impact [indiscernible] to recover the low sulfur costs that you’ve highlighted recently?
Nils Smedegaard Andersen: Well, like we will have to assume that falling oil prices or bunker prices will be transferred to the customers, maybe with some modest delays, also the low sulfur costs will have to be paid by the customers. I don’t think there is any way around, that the container business or container industry as a whole is very, very low on profitability, and I really don’t see how it will be possible to shoulder significantly bunker price increases because of low sulfur requirements by most of our competitors and we certainly don’t intent to do it.
Christopher Combé – JP Morgan: And on the recent GRIs. Can you provide any color, how that’s going?
Nils Smedegaard Andersen: Well, I can tell you that they are all extremely successful and so on, but the picture is that we announced a number of GRIs during the year and everybody in the outside try furiously to incorporate those rate increases, and thereafter, the gradual deterioration in rates in detail calculations. And I think it’s very, very difficult to do that. We will assume that it’s possible to increase the rates in the fourth quarter. It will have a minor impact in any case, because the November 1 rate increase will not have effect on the books until December. So I wouldn’t spend too much time doing those calculations.
Christopher Combé – JP Morgan: Okay. Thank you.
Operator: Next question is from Marcus Bellander from Carnegie. Please go ahead.
Marcus Bellander – Carnegie: Hi. Two questions, if I may. First, when talking about Maersk Oil, you said that something along the lines of, that high exploration costs may not be the best way to build your resource base. Could I ask you to elaborate a little bit on that?
Nils Smedegaard Andersen: Yes. First, I would say over the last five years we’ve run with an exploration cost that has been above what you would expect a company of our size to run. We have been partly successful in the later years, we’ve had some less successful periods, and therefore we had decided anyway to take a close look at that. And now with the oil price of around US$80, most likely the number of exploration projects will become less interesting, whilst once the sellers realize that an US$80 oil price is a realistic price level, maybe it will be possible to buy an oilfield instead of going into in increased exploration level. But this is on a very, you can say a high level, and I can’t provide you with any details until we are into next year. We’ll do an acquisition or anything in that period just to make that very clear.
Marcus Bellander – Carnegie: Thank you. And the second question then regarding your target of a 5 percentage points out-performance, when it comes to margins in Maersk Line. How come you’re not raising that to target, because you are clearly way above it?
Nils Smedegaard Andersen: We are clearly way above it, but we also want to be very clear in the fact that if we have to go low in order to defend our position, then we will do that. We think 5% is a good and an ambitious level to have us a strategy. During the periods where the industry is under a lot of pressure, can do better than that is of course very pleasing, but we don’t dare to take the assumption that this will be a permanent situation, but 5% we believe is defendable.
Operator: Today’s last question is coming from Joel Spungin from Merrill Lynch. Please go ahead. Joel, you’re online, please go ahead with your question.
Joel Spungin – Merrill Lynch: Hi there, it’s Joel Spungin here from Merrill Lynch. That was quite an extraordinary pronunciation of my name. Just a couple of questions. The first one, just with regards to the comments you made earlier about the impacts of lower bunker fuel prices being competed away. I was just wondering, when you quote the numbers in your press release about the sensitivity to bunker fuel price, do you make an assumption about that competitive effect within that guidance, or is that just a pure mathematical interpretation, i.e., in reality the impact of lower bunker fuels is effectively zero? That’s my first question. Second question was just to clarify, in terms of the lower CapEx from US$10 billion to US$9 billion. What is it that you’re not spending there, and through what extent is that driven by, or to what extent did you consider just increasing the share buyback given that your CapEx is coming lower than you were previously expecting? And my final point was just on Damco, which obviously has had another very poor quarter. I just think in the last four quarters it’s lost over US$200 million at the operating level, which for freight forwarding business strikes me is that an incredibly weak performance. I’m just wondering what’s going on there, because one would not naturally assume a business like that. We’d see those kind of losses, especially given that it was generally not very profitable, but relatively profitable for quite a longer period before that. So if you can just sort of clarify what’s going on there would help? Thank you.
Trond Westlie: Well, to take the first one first on the sensitivities, that’s pure math. It’s everything else equal on the effect, very simple. When it comes to your second question on the CapEx. Yes, we are lowering the gross CapEx expectations by US$1 billion. We have basically said around the US$10 billion. It’s a few projects. Some of it in Oil, that is sort of timeline. And of course, some of the places as well as we have, like many others, some challenge finding growth. So to some extent on the growth agenda, but some of the project sliding slightly to the right. That’s the most elements of the decline.
Nils Smedegaard Andersen: And just to elaborating a bit on Damco. Of course, there is a number one-off costs in operations related to this transformation, which we call One Damco and there are also a number of things that are related to account clean-ups as we get the balance sheets more under control. We unfortunately have had to take some write-downs and some impairments on that. But on top of that, and I concur with you, that this is not a good performance. We’re also not happy with our performance. Costs have been too high in the business, and we also had too much focus on the – probably not too much focus on the transformation, but too little focus on the market. So we’ll need to get it over with. I think we’re getting nearer to the end, and then we’ll be reporting ourselves back to compete actively in the market on a better cost structure, but first and foremost on a much more healthy platform.
Joel Spungin – Merrill Lynch: Thank you. If I could just follow-up quickly. On the CapEx, you mentioned that it was sort of sliding slightly. Should we therefore assume that actually a lot of this CapEx is rolled into 2015? And if I could just come back in terms of your thinking in terms of the share buyback, whether you considered using any of the excess capital to increase the share buyback? I know it’s quite early in the process still. And then on Damco. Are you optimistic that you can get it to profitability in 2015?
Nils Smedegaard Andersen: If I start with the Damco, and then, Trond, will cover the other question. I think we will, in the second half of 2015, see a profitable Damco.
Trond Westlie: And when it comes to the CapEx. Yes, as I said, some of it is sliding to the right, not all of it, but will come back to the CapEx guidance for 2015 in February, when we do the first guidance on February or 2015 when we get there. When it comes to the share buyback program, that is the program we have decided on. It’s running according to plan. We are getting closer to the first period, as we have said, of the US$400 million within the three months here, and we expect to continue the program shortly after finishing the first one. But we will come back with announcement in that regard.
Joel Spungin – Merrill Lynch: Super. Thank you very much.